Brett Kelly: Welcome, everybody, to the FY '25 results presentation for Kelly Partners Group Holdings Limited. My name is Brett Kelly, the Founder and CEO, and I'm joined by our Chief Financial Officer, Kenneth Ko. Our planned format is to share the presentation which we published this morning and take questions through the chat function of the Q&A. I expect we can get through this quite quickly as our business is very consistent for those of you have followed the business for some time, I think, most of what you can see here you'll be very familiar with. There are now 660 team members, 102 equity partners across 38 businesses in 5 countries. And revenue this year grew 25% to $134 million. Our revenue run rate is approximately $150 million. We did a first-time equity capital raise since IPO of $4 million to essentially new partners from firms that have joined the group since 2017 IPO. And then we have grown free cash flow by 8%. You will see the reduction in return on invested capital. Organic growth is up 50% to 4.5% and a return on invested capital plus organic growth remains strong at 27.5%. On Slide 3, we just share as we like to do some of the learning that informs our thinking. Founders mentality has always been on our book list is a tremendous book, and it shares the information that is on this diagram that growing companies face and choices a scale to follow the default path or commit to the journey north. In the default part, you'll see really lead you down a path of Australian bureaucracies and the behavior of incumbents or we maintain our insurgent mission and try to scale our mission northward. That's not easy, but it's worth a challenge, and we are in serious pursuit of that challenge as we speak. Two other books that really inform that is The Rack We Built by our friends at rack space and the Motive by Patrick Lencioni. What's interesting is that large books, in particular, I have for a long time informed the things that will help us maintain this insurgent mission. The Motive talks about making sure that the people that move through the business inter leadership positions are there for the right reasons so that they have the right motive and in our terms, that's to make other people better off to lead people for others who keep their promises and work as part of a team, our 3 core values. And the rack we build tells the story about what goes wrong when a business grows, but doesn't maintain that insurgent mentality around the talent that it brings in and in particular, lateral hires from large companies that can push you towards being the incumbent. So on Slide 5 is our familiar Kelly Partners in 1 page for those who haven't seen one of these presentations before the history pre-IPO and at IPO, people would say, "Hey, Brett, can you give it to us short and sharp in one page." And so we do revenue growth there, margins, so strong EBITDA margins, parent NPATA, return on equity, net debt to underlying EBITDA remains very conservative at 1.42x. Cash flow strongly up 23.3%. It's a good number to watch and cash conversion at 99.8% remains very, very efficient. Down the bottom left-hand corner billings per full-time employee still are very high. And so we can see that the key measures indicate that we are scaling rather than simply growing. And what I mean by that is that we are scaling our long-standing excellent financial metrics off the back of our long-standing values. On Page 6, it's important to understand that we have a business system that knows how to double. We believe that because the business has now doubled 6x in 19 years on average every 3.2 years is a sustained long-standing performance that indicates that KPG has a business system that knows how to double itself. And whether we have excellent people or doubly excellent people, no matter who has been in our team over a very long period of time, the business has outperformed the individuals as the team has delivered the business system that creates deep alignment and allows people to be the best versions of themselves at work and deliver these industry-leading results. On Page 7, you're seeing lots of nice little pictures around revenue growth, EBITDA, successful programmatic acquisition strategy, high returns on equity, high returns on invested capital and cash -- strong cash conversion. And while those numbers are, I believe, a testament to our team and their efforts, they are not the business of the business dynamic outcome. On Page 8. You'll see, again, we outlined early on that we had a start-up and foundation phase at IPO. We said we built a foundation that we believe we could build and then we announced that we believe we could accelerate. And in that period from IPO to 2020, we grew from $30 million, $25 million pre-IPO. I think it was $30 million in the first year and $50 million 5 years later, 4 years later, to now $135 million and $150 million run rate. And so it is important to understand that since June 2020, we will grow the revenue from, say, $50 million to $150 million that is revenue that's controlled by the group. In tripling that revenue, we've done that in a particularly capital-efficient manner on a per share basis across every metric, whether that is EBITDA per share, whether that's our strong net profit per share, really, whichever way we look at it, we haven't until the recent part of offer issued a single share and we still have less shares on issue than we had an IPO. So we've reduced the total number of shares on issue since IPO, while taking the revenues from $30 million to a run rate of $150 million which is obviously in 7 years. This is our eighth year completed. We've taken revenues by 5x. Now the good news is that when I started the business with my wife, Rebecca, we were told, well, you can only go so big so far, so this, so that. And we were never focused and still out on the numbers. We believe that if we got the right people into the business and build the right system that those -- that, that combination with the right clarity around our mission, values and vision that, that internal momentum will grow the business, create a flywheel frankly, of mission, values and vision captured by the right business model. We believe that the business would have its own internal drive to deliver better outcomes for our people and clients and that, that will result ultimately in wherever the numbers would be, and that's proving to be the case. Our business, I would stress, is still small in the global context. Global peers inevitably larger. And so we see -- our intention has been to build a 100-year business. We see 80 years of growth. We don't see 8 minutes of growth, and we see no reason to materially change the model that we've developed that really deeply aligns the interest between our partners, our people, our clients and community and obviously our shareholders. On Page 9, you'll see KPG's earning power. It's always been my view that the whole holdco is pulling together businesses that share the same mission, values and vision to improve those businesses and help them deliver better outcomes for our people, clients and communities. And in doing that, there's an inherent level of earning power that will sometimes be reflected in our statutory numbers, but not often. There's all sorts of good stuff that accounting standards require that we disclose in a way that we might not otherwise choose to disclose in order to best represent the earning power and a long-term recurring nature of that earning power of the business. We remain very confident in the model and its ability to continue to do really great things in the accounting industry for a long time to come. On Page 10, you'll see some great stuff where our profitability remains very strong, industry-leading profitability. And you'll notice that the U.S. and Ireland are running at essentially average profitabilities for their market. And the challenge will be for us to deliver the results there in turning their profitability around it in the way that we do in the Australian market over time. Our development of the business is such that the U.S. business is now as large as the Australian business was at IPO, took 11 years to get to that position in Australia. It's taken 2.5 years to do that in the U.S. That has meant that we use a little more capital to do that than we did in Australia, and we've spent less time moving profitability because of our confidence in ultimately being able to do that over time and the importance of getting to scale to justify frankly existing in this market. On Page 11. Capital allocation will lead to a review. But I'm very, very pleased with how clear that slide is. And obviously, the numbers are represented there, and I hope they're easy for shareholders to appreciate. On Page 12, we've tried to make clear that the compounded annual gain in book value since inception is 35.4% per annum. We think that, that's a pretty good effort over time, and we're confident that we can continue to deliver those types of returns for a long time if we stay within our tiny circle of confidence. Page 13, an emphasis on very tiny circular confidence. We have used a very small amount of equity capital to build the business. And I'm pleased with the discipline that's been demonstrated over a long period of time. On Page 14, you see EPS and free cash flow per share continues to grow as the business grows. Again, it's a big effort from everyone to continue to make that happen. On Page 15, you see share buyback outlined. Now the section beginning on 16 really just shares about the business. I take this as last and read and move through very quickly, 35 operating businesses. On Page 17, across these geographies, we're particularly pleased with that we have the international growth of the business is going, the robustness of our position in Australia being able to have both of those wins sort of flapping at the same time is a testament again to our teams and systems. On Page 18, we see that team members, office locations, client groups, et cetera. I point out there that largely, this is a recurring income business. On Page 19, we continue to strengthen our position in the Australian market, where we see -- we exclude the big 4 as competitors. They're not our competitors. We take out index or financial planning group. There might be one other in there that we may have that view. And we just look at who are actual accounting groups that we're looking at as competitors, and we're well positioned versus these people. Absolute sizes is not as important as excellence at this point, and it's always been our case that if we stay excellent, we'll grow. On Page 20, the programmatic nature of our partnership approach, I think is quite clear for all to see there. Again, we're not looking to just do partnerships for our own sake, unless they're the right people with the right values and reasons for joining Kelly Partners, we're not particularly interested. On Page 21, capital allocation. We'll leave this for you to review. But on 22, you'll see our continued strong performance on this measure. On Page 23, we have put a new slide in the -- I quite like it, and I hope you like too. It shows that we raised equity pre-IPO of $11.6 million. We raised equity post IPO of $6.7 million, including the recent $4.2 million, a total of $18.3 million. We've done additional investments of $11.3 million which is the excess amount above the 9% we take from the partnerships that we've reinvested in the business. We have a current run rate EBITDA of $52.5 million and KPG share of run rate EBITDA $26 million. So far $29.6 million of equity, we believe that we pull together about $26.8 million of EBITDA, which is great. In the second part of this slide, we sort of show -- as I'll talk about later in this presentation, we're considering our capital structure and the way we think about that capital structure is for every dollar equity we may raise, either externally or internally, if we add $2 of debt, then these -- we expect to continue to be able to drive a very strong return on invested capital. And you can see the sort of shares issued per date and the buyback. I think if we added that the money that we've made on the shares that we bought back, Kenneth, than that total equity plus additional investments might reduce profit on buybacks, and that number might be even lower and significantly lower. So the business has been particularly disciplined and careful with its use of capital. On Page 24, this is the additional investment side. So we've had the additional investments in the past. I just wanted to have the equity investment slide as well that we've added in there. And you'll notice that we've significantly invested above the 9% this year. But I would point to the fact that in the last 5 years, we've invested about $8 million above 9%, and we tripled the revenue. So we don't feel too bad about that. On Page 25, financial highlights. I'm going to hand over to Kenneth Ko, our Chief Financial Officer, to share some of the highlights of the financial highlights. Thank you, Ken.
Kenneth Ko: Thanks, Brett. Great to speak to everyone again and present the financial hires for the group for the year ended June 30, 2025. Slide 26. This is the financial highlights for the group. I won't go through this in detail because as with prior years, we have slide essentially covering all of these information as presented here, but we think that this presents a good summary of the finances of the business for the year. On the next slide, income statement. Revenue of $134.6 million, up $26.5 million or 24.5% on the prior year, driven both by organic revenue growth of 4.5% and contributions from the acquisitions we completed in the prior year and this year. Just noting that in terms of the organic revenue, excluding the impacts of subscale businesses where we have merged those subscale businesses into our larger and more established businesses, our organic revenue growth rate was 6.2%. In terms of the acquisitions we completed and the acquired growth of 20%. This mainly comes from the Florida business that we partnered with in August last year and the Sydney CBD firm that we tucked into the business in December last year. In terms of the operating margin, EBITDA margins of the business $38.1 million for the year, up 19.2% on prior year. The margin is, as represented earlier, 30.8% for our Australian businesses, 28.3% for the group, which we think is strong. In terms of the underlying NPATA attributable to shareholders increased by 13% to $9.1 million compared to $8 million last year. As always, note that the significant increase in amortization expense, again, due to the acquisitions that we've completed, resulting in higher customer relationship and intangible assets recognized. That's the income statement. On the next slide, in terms of the balance sheet, our lockup is at 58 days. Again, lockup being the totals of WIP days at 7.7 days and debtor days at 50.3 days, which is comparable to what we have in terms of lockup date in the prior years. In terms of net debt to underlying EBITDA ratio of 1.42x net debt to underlying EBITDA compared to 1.28x in the prior year. And that increase is attributed to the acquisitions we completed this year. We completed 6 acquisitions this year and as mentioned before, mainly in the Florida business, the Sydney business tuck-in as well as the Ireland business that we completed in March this year. Our group return on equity remains very strong at 38.8%, parent return on equity of 31.9%. Our total assets, $199 million increased 24.9% again, driven mainly because of the increase in intangible assets from the acquisitions and net debt increased 29.4% from the prior year. On the next slide on debt and liquidity. Our net debt here on the right compares the net debt position at the June 30, 2025 to June 30, 2024. Our net debt is $58.5 million as at June 30, 2025 compared to $45.2 million last year. The increase is $13.3 million as per this note here on the slide and is, again, due to those acquisitions we completed, noting that we completed $20 million of acquisitions during the year and the net debt increased $13.3 million. In terms of the gross debt, excluding working capital debt, it's at $57.6 million, and it increased $14 million. The increase is actually the same as the net debt increase. So there's no increase in the working capital debt essentially. On the left here, looking at the dissection of the debt and the cash and headroom that continues to be sufficient headroom at $23.7 million. And we continue to review our capital structure to support our continued growth. On the next slide, in terms of cash flow, our cash from operations of $24.9 million increased by $23.3 million (sic) [ 23.3% ], it's very in line with our revenue growth of $24.5 million. Our free cash flow to firm after scheduled debt reductions increased 7.2%. Now that differential between the increase of 23.3% and the 7.2% is primarily due to the increase in scheduled debt reductions. We are paying our debts of in an accelerated manner over 5 years. So if you look on the right there on that table, last year, our scheduled debt reduction is $8 million, and that has increased to $11.6 million, a $3.6 million increase in the scheduled debt reduction. In terms of the distributions, I just want to highlight the distribution to noncontrolling interest. There is a significant increase there. There is around a $2.5 million return of capital that we made prior to tucking-in the Sydney CBD business and also distribution in general increase due to the acquisitions we completed in last year and this year. In terms of the cash conversion on the left, 99.8% compared to 96.9% and very consistent with what we have achieved previously in terms of conversion ratios. And the drawn debt primarily used to fund acquisitions and new partner buying loans. On Slide 31, parent and MCI waterfall. As always, we get asked a lot why our 51% to 49% equity interest doesn't tie to the profit attributable and will produce this waterfall to explain it. I just want to go through quickly on the right, this waterfall chart. This year, we've included just the prior year waterfall, so we can have a bit of a comparison. You can see that the tax interest and depreciation in terms of percentage of the parent net profit before tax is very comparable, 29.9% this year compared to 32.9% last year. In terms of additional investments, it's $3.7 million, and is to support our growth, as Brett presented the additional investment slide previously. We're having 2.5x our business since FY '23. And I just refer everyone back to that Slide 24 for that additional investment commentary. On the strategic review costs there of $1.2 million primarily related to the PCAOB audit costs that we only took this year for the prior 2 years for FY '23 and FY '24. For the acquisition costs, the 6 acquisitions we completed this year, including new regions being in Ireland and also the Kudos Network, which is a U.K. business. So there was some costs there in terms of documentation, documenting the legal agreements in those jurisdictions. And I believe that's it, Brett.
Brett Kelly: Thank you, Kenneth. That is terrific. I appreciate all of Ken's hard work again this year. He's visited the U.S. and Ireland and other jurisdictions probably a dozen times and has made a huge difference to all of those interactions and is a valued and appreciated member of our team. As Ken alluded to there, one of the great achievements and large costs of this year is getting agreements up to scratch to operate in the U.K. and also in England where Kudos is based and also in the Ireland. There is also a heavy cost trying to take the PCAOB or its looking back 2 years to make us comply for the United States in terms of their stands. Now I think with that, we can probably move to Slide 33. 33 just outlines in -- there are some restrictions around what we can say, but to the degree that we can share, it's always our instinct to be very transparent. We can share that we have undertaken the PCAOB orders for the last 2 years at great time and financial cost of the group. We've spent a huge amount also on legal in the U.S. over the last 2.5 years. We've done the partner's internal capital raise. We're doing a strategic review of the capital structure at the moment. And to the right is a sort of slide we shared further up. But I just want all of our shareholders to understand that we just won't raise equity at any time where we believe the gap between intrinsic value and the equity that we can raise an evaluation of that equity are as close as possible to each other. We did the partners raise because we believe that the difference between the intrinsic value and the price at which we raised was such that the deep alignment that we were creating made up for what we consider was a genuine and unacceptable gap. As we consider what we do next, we're always in a rush to move the business forward to really reach its potential and sort of get it to where we think it needs to get to, to be that scale insurgent that we showed you on the early picture from founders mentality, but we won't move in haste, and we won't do things that dilute your interest and mine and every other shareholders, such that we set ourselves up to have to work for the next 5 years to create no real value because we raised equity at the wrong price. So we do believe that in terms of getting the business to maximize the value of this business model that it owns, we should be operating at much stronger scale across a number of these markets that would require stronger teams, investment in teams and infrastructure on the East Coast, West Coast to the U.S. and into the U.K. because I believe that our model is sufficiently unique and proven to justify that investment to try and push to the scale that we think is possible. We look to see this, the U.S. listed accounting group, the only U.S. listed accounting group, and they've taken their market cap in the last 10 years from $350 million to north of $3.5 billion, so 10x their market cap. And while they buy much larger businesses, it makes pretty clear what the opportunity is, we think we can follow a similar trajectory, but we won't create value per share if we don't and can't raise the equity capital at the right price. So we have to get that piece right. And we are deep in the development of, and we are confident that we will close a large bond raise if we can agree the right structure with our existing bank, Westpac have been, from inception, our most valued partner and a wonderful partner. We're trying to put in place next-generation debt capital to allow us to accelerate the opportunity to deploy our low. So there's a lot of really good things happening. We want you to understand that we understand the numbers. We consistently run side by side, raise capital, don't raise capital, grow at this rate, grow at that rate, does it make any difference? It doesn't if we don't get that piece right. And with that comment, we might go to the chat. Where I believe we've got some Q&A. And so for anyone who wants to drop in a question, please feel free to, and I'll move through them as quickly as I can.
Brett Kelly: From Arnold, how would you characterize the business approach of KPG? Is it intuitive and adaptive or is it more fixed and mechanical? I think, Arnold, one of the great books ever written Jim Collins' book Good to Great was preceded by a book that he collaborated on core build to last. And one of the greatest chapters that I read of any book ever is the power of -- essentially the power of [indiscernible], the answer to most questions is an either or it's an. So we believe that our fixed mission, values and vision with our fixed approach to focusing on accounting firms, $2 million to $10 million that look at the private business owners. So that fixed strategy and our fixed 51-49 structure make a lot of sense. And so to that degree, that bits fixed and mechanical, but where you go, who you go with and the timing of all of those things is really a matter of feel. It is a matter of intuition and being adaptive and a mindset there. When you read Steve Schwarzman's book chapter 1, think big, when you read 3G Capital's book chapter 1, think bigger, it's obvious that work on our mindset and our intuition to break out sort of path limiting beliefs, particularly as a bootstrapped business. They're going to be really important and the founder's mentality book it does talk about. And I think Collins puts it well in his Good to Great book, so of maintain the core and stimulate for progress is kind of a good way to think about it. So I hope that answers the question. I hate to think that would be fixed and mechanical and would lose our intuition and that we wouldn't be adaptive. We're still retain our courage and energy for experimentation. And a lot of that is around our sense of the market, sense of what our people need, sense of what the clients need. Now there was a question e-mailed, in the acquisition of Sydney CBD and [indiscernible] 100% acquisition and tuck-in within subsidiaries, how do you make sure a smooth transition as one of the strengths of KPG Partners remain? Can we expect more 100%? So look, we're not interested typically in doing a 100% acquisition because we'd like to do partnerships and -- but we will do 100% where it is a tuck-in to existing businesses. Our Sydney CBD business is a large and very strong business from the perspective of the strength of its partners as is the North Sydney business, which is involved as well. And our [ Barrel ] business is the largest business in its region. And with this business joining, it will be more than twice as large as any competitor. And frankly, I think we're going there as in many regions of sort of unduplicatable position. So we want to continue that history of smooth transitions. The key to a smooth transition is the quality of who you partner with. And in the words of one of my great heroes who I can't name in fear of being -- and I'm told that I've named, you can't do a good deal with a bad person. So we continue to try and do deals with good people. The gentlemen that are the partners in that firm, we've been talking to since 2020. It's taken 6 years or 5 years to get that business into our group, and we're very, very proud of the partners and the people that make up that business. Another question, Brett, if you would infer what could prevent KPG from becoming a $2 billion-plus company. It's a great question. What can stop a business like ours progressing as it has in the past is if we do something transformative, so something large and undisciplined that would not be intelligent based on the data from McKinsey and our observable history across markets. But also, if we just got outside our circle of confidence, if we started going off and doing things that we don't understand that would be our biggest risk. Question from Tristan. Historically, domestic funding has been nonrecourse to the parent, acting as an important risk mitigator for the parent company interest. International funding appears to be recoursed to the parents as a possible structure future is lower risk. It's a great question, Tristan. The piece we're working on at the moment is a bond that would sit somewhere above the parent or it's a matter of discussion at the moment might have its own financing entity. Where we aspire to ultimately is to have a listed holdco probably I won't say much more of that probably Cayman-based holdco. And an Australian holdco with Australian interest and a global holdco with the U.S. and other interest maybe in U.S. holdco and U.K. holdco. And ultimately for the funding for each market to be attached to the holdcos of each of those markets and then down into the subs. So it's taking a lot of work to try and get that -- the ideal financing. It's slowing us down to a degree. But it's better to do something slow and well than fast and in need of repair soon after. So it's a very, very good question, and we're very, very conscious of risk is always. So yes, we're thinking a lot about that. What efforts have been made to expand the M&A resource to scale deal volume without increasing the size of the deals? So we are not scaling the M&A deal team at this point to any great degree. We have hundreds of millions of dollars of incoming leads. And yes, we should scale that team, and we will, subject to putting the capital in place to do that. We need to do the next piece before we do that. Functions remain centralized to the core management team or do not? We published a progress pyramid. There's 9 parts that are centralized and 3 that aren't. The 3 that are the focus of the local operating partners their people, their clients and the leadership of the brand. And Ed's asked a question. Given the additional investment expenditures needed recently, would it be feasible to slightly increase in the central services fee. So Ed, we've made a commitment to never increase that fee. We have, if anything, I aspire to lower, not increase it. It makes us -- the amount we deliver for that fee, again, we think some duplicatable. So we're not uncomfortable with the return that we're getting on the capital that we're retaining and we've been encouraged by shareholders to do more of that, hence the approach. Yes, I think we're on the right track there. I'm not anxious for short-term dividends and neither our own major shareholders and communicated that very clearly to me, and they want us to grow the scale of business on the existing platform and metrics. Marvin's asked a question. Kelly Partners has highlighted partner owner driver model is a key with U.S. expansion, specific focus on taxes through the growth partnership platform? Can you provide any color on how that's progressing? Furthermore, given the recent listing on our OTCQX market, any color on time for U.S. listing? So Marvin, our partner owner driver model is now being deployed 5x in this market. Our Texas partnership or growth partnership platform has stalled in that the partner that took that on has filed to be able to grow that market, that's okay. We remain keenly interested in that with the joining of our recent California business. Together with the North Carolina and Florida businesses, we have now nearly 9% of all McDonald's franchise restaurants as clients through their owner operators in the U.S. That gives us virtually a national presence, takes us and everywhere else. And so our focus is really growing that platform business. It would have been tremendous if that partner had been able to take that forward. And it's an example of where we're prepared to experiment, but it hasn't hindered us at all in growing what we see as the opportunity here. OTCQX is great because it allows our employees and partners to go on their Charles Schwab accounts or their -- whatever online platform they're on and simply buy the stock. That's been very good for building relationships in this market and making company more visible. Listing on a market other than the ASX, it might be better for me to put it in those terms. We continue to investigate to ensure we come up with the right thing for the company. Quintin's question, what are your thoughts on the development of AI, KPG and the accounting industry? How do you keep high- quality talent from leaving, pursuing other professions? So 2-part question. We see AI as a real opportunity. It's helping us in so many ways, like all the technology we've ever used. I do think it's even more powerful than other things we've seen before. And we've recently appointed one of our senior executives who has been running IT for nearly 10 years to lead our approach to AI. To give you an example, we have mapped use cases of key pieces of AI software across every position in the organization and are now deploying and training our team members in those core applications. We'll be very, very aggressive in the adoption of AI. We think it makes you like a 10-armed human, somebody with 10 arms as opposed to somebody with 2. And so that mitigates the second part of your question, how you hold on to high-quality talent. I think it's the same as it's always been. You need to be an attractive proposition across health, wealth and wisdom. Sebastian asked. Brett, what have larger challenges associated with the international partnership would have been the unexpected success? So the larger challenges are really the cost of getting moving in this market, personnel, very heavy on me and the family and just a massive undertaking. However, the unexpected successes are that we've built a business now from scratch the size of the business that we listed in Australia after 11 years. And so there's much more commonality in people's values than people might suspect. And our way of working with people is welcoming this market and others, which is tremendous. So after 2.5 years here, I'm blown away by the market opportunity, the receptiveness to KPG's model and approach and could not, frankly, be more excited about what lies ahead while not getting anyone too excited. But for people that know me, I have energy and I'm very, very excited about what we're doing. More excited than ever, to be fair, it's actually getting a lot easier than it ever has been to do what we're doing. And there's a lot more interest in -- more interest in the sector. It's more accepted what we're doing and we have few less bricks than we did some 10 years ago for the approach and our view of what the opportunity is. Robert, congrats on the results. Can you make any comment about the departure of Lawrence Cunningham from the Board and if there's any skill gap now? Look, it was an amazing privilege to have Lawrence on the Board for 3 years. He contributed then, he's contributing now. He's introduced us to great people, which have helped us level up. Our -- just understanding of what's possible. For instance, Lawrence introduced us to the senior team at Constellation Software and allowed Ken and I to attend the conference in Toronto last October, which is unbelievable in terms of our life experience. I participated in an interview with Mark Leonard, and it was well received. And that's given us a lot of confidence that we're on the right track here. When someone like Mark looks at the business and thinks it's okay, that's at a personal level very powerful. So it was a huge privilege to have Lawrence. We didn't -- we had no right to expect his involvement and he remains in enormous demand. He's on the Constellation Board and now the TheMarshChannel Insurance Group Board. He's taken a very senior appointment in academia in Delaware on a corporate governance academic role. So he simply said to me, Brett, I can't keep doing everything and I can't do the thing that pays me the least. So I respect that. He's been a huge friends of the business and is continuing to support what we do. Is there a skills gap? No, at this point, that was more of a benefit than anything else. To Michael, if you were to raise $100 million there, are there enough target acquisitions to absorb that much over time? There, sure is, Michael. I think BlackRock recently paid USD 2 billion for a firm. The market is enormous, and I'd be more confident than ever that we could deploy a very significant capital at the right rate of return to justify the exercise and that we've got a model and experience to be able to build the team and handle that. To Tristan, to the extent you can talk about what's the status of potential listing, U.S. or Canada? I can't really talk about it, Tristan, but we have done the PCAOB audits and invested a lot of time and money in that, and that probably tells you something. To Jack, less of a question, more of a thank you. Got into KPG in the early days of COVID after selling some of my shares recently, managed to put together a sizable deposit for my first. Jack, I'm very, very pleased to hear that one of the greatest joys in my life is trying to, as I say, do business as an Olympian or do the Olympics just probably with a real commitment to trying to do a good job and make a difference to all of our people that work in the business, all of our partners, the communities that we're in and certainly our shareholders. So it gives me huge joy to see that. It's one of the many -- and one of the most special benefits of what we do. I was at a Berkshire meeting in May, and there was a phenomenal moment where Buffett shared that he didn't have institutional shareholders and he didn't want them. We wanted people he could make a difference to, and that's what kept him doing for 60 years. It is those sort of comments, Jack, that give me a huge amount of drive and energy to continue to deliver. And thankfully, I had many, many, many of those messages. And the good news is I hope you bought a moderate-sized home so that you can stay invested in KPG and other good businesses, where I think you will be well rewarded over time. There's still a lot left in what we're doing. Tristan has asked a question. Are other firms with a strong base of quick service restaurants, holding in priority for acquisitions? No, we're very focused on the McDonald's piece. We have about 20% of the franchisor market in Australia, early 10% here. We have genuine insight and expertise. And there's enough 120 countries with that system to stay very focused. We bought into the Kudos Network. It has 6 firms in 48 countries and it doesn't take it greatly to imagine that we might get many of those folks to join us. The first one has joined us on a 51-49 basis in Ireland and that we will get out to the McDonald's business in each of those markets as well to roll. So Robert, if the scenario stacks for $100 million capital raise as outlined, the scenario continues to in the future. Do you think this is a one-and-done type raising? Or could you see yourself raising capital from time to time? Look, I think it's important, as Henry Singleton said, to stay very flexible. We put that in our last pack. So I don't think it serves anyone to say never about anything, but I have been an unabashed fan of Mark Leonard's approach. And Mark is on the public record saying that his second larger cap raise, you probably over raised. So I believe they raised about USD 85 million all time. We've raised approximately maybe USD 15 million, maybe less. So say AUD 19 million, so maybe USD 13 million. So we believe there's a gap of somewhere between USD 85 million and USD 13 million that we might look to fill some of that at some point, if we can do it in the right way. And then if you could add 2:1 or even 3:1 debt, you would have enormous firepower to grow the business. And so when I'm asked, how you get from where you are to sort of see the scale sort of 10x your size, and it's no secret that our aspiration has been to be 100 bagger, but you might have -- those who studied closely might have worked that out. We can conceivably close that gap quite easily. The numbers are very straightforward. If you raise USD 70, AUD 100, call it AUD 100, AUD 200 debt against it, so that's AUD 300 by AUD 600 [indiscernible] at 30%. They do $200 million EBITDA, gets $100 EBITDA for the 100 equity has raised. Net of, say, 30% tax, you got 70 NPAT in times by 50, it's $3.5 billion. If you don't like that multiple, you choose another one and it's certainly a $2 billion cash. So the numbers are very straightforward. I don't think having done more than 50, 55 partnerships, 90-plus partners in these types of arrangements. I think we're as experienced as anyone in the world in our particular tiny little circle of confidence and that there is the opportunity in the market. Even at $600 million of revenues you need to find 60 firms with $10 million, 120 with $5 million, and we've already found, say, $50 million. So an investor would have to say that we couldn't in the next years find 2x the number of firms we found in the last 20 years. And I don't want to kink anything or be overconfident, but I do think it's possible. We're more advantaged today in terms of brand track record, expertise, access to capital and talented people, quality systems and proven results to sort of think that through and think that, that might be possible. Marvin's asked a question beyond the U.K. Are there any new geographic groups on the horizon and what criteria? Marvin, we're quite able eager to stay very focused in English-speaking territories. We did spend some time in Canada. And frankly, it was so close to being at home in Australia that it would be very likely that with the right partner, we would be into Canada if it makes sense. But we're not in the business of collecting geographies. We're in the business of delivering returns per share. And so happy to do that wherever it makes sense. We've got to find the right people. Life is short. Time is limited, death is certain. I want to spend my time with people that want to spend the time with us that really share our mission and care about what we're doing. And I'm personally happy to do that anywhere where that turns up. Nancy's asked the question. So will we likely see you raise a mix of debt and equity in tranches over the next 12 months? It's possible, Nancy. It's really -- the offers on the debt side are very, very strong. And the alternative capital markets are much more flexible than they ever have been. And frankly, we've been really impressed with and surprised by what we've been shown. And so we continue to work very hard to work through the best capital structure. There's no rush. There's no -- it's a bigger risk to the business to do the wrong deal than to just sort of do any old deal. So we'll just stick at it. We're frankly quite gratified and always have been that firms continue to turn up with CBD and [ Barrel ]. If you'd asked me 6 weeks ago, would they be joining Kelly Partners like as always, I don't know. But I'm pleased that after more than 5 years of effort, they joined. Similarly, the McDonald's focused firm that has joined us here in mission game in California, actually called the principle of that firm one week after landing in the U.S. in January 2023. And I didn't get a text message back until the December 22 that year. And I just relentlessly continue to contact that firm until we got a little bit of engagement and we had discussions. Then we met the firm in Florida and Barcelona in 2024 in April, May -- April. And once that firm joined us, California firm got back in touch, keen on the idea that we would have East Coast, West Coast and genuine national coverage. So this is a relationship business. I'd emphasize that we have been sending e-mails to accounting firms in Australia for more than 17 years. The good people in that market know we exist, and I'm confident that the people that really care about their firms, their people and their clients will join our group. However, if they're just looking for sort of a short-term check and a way to say goodbye quickly, then they won't be our people, and that's okay as well. There's plenty of opportunity. My last comment would be that by being here in L.A., we've really opened up geographic arbitrage for the group on where we can part with a firm. And so that is meaning that we don't need to rush into any particular deal or pay over the ultimate terms that don't make sense because there is more than we could keep up with today. And really no matter how big we made an M&A team, I suspect that it'd be more than we could catch up. Robert, the question about -- comment about increasing related party loans, some payback of further loans made very expensive to be here in the U.S., borrowing money to fund it, and we'll sort it out over time. You'll note that [ Marvin ] remains deeply uncompetitive with the market. Conor, speaking of East Coast, West Coast, any interest in other Australian states on the East Coast? Conor, yes, if it's a sizable high- quality business that shares our mission, values and vision, but a diversion if that's not the case. But look, we've spoken to big firms in Adelaide and Western Australia over the last 5 years. And for whatever reason, we haven't had them join the group. So again, we're not close minded about where that opportunity is. Frankly, we'd love to have a good group or groups join us in any of those places. Our cash, how do you trade off growing slower organically with debt and cash flows versus trying to grow fast equity, which possibly come to more? Absolutely. So hence, you'll notice that our cash for 20 years, we've carefully managed that balance. And we'll continue to be very, very careful about how we do that. I am now 50 years old, quite experienced having done this for nearly 20 years and feel that there's an opportunity today to use my energy and skills on behalf of the group to get us to a size that I think makes us super competitive on a global basis. But again, if it's not done in a way that's capital efficient that delivers returns for shareholders, then frankly, the weather is very nice in California, and I can always take the dog for a walk around the block. We're just not in any hurry. All of my business heroes have been being very careful about capital efficiency. I love the book the outsiders. I consider all of those CEOs as heroes of mine. And I've learned from them that you should be very circumspect, but back up the truck when the opportunity presents itself. Daniel's asked, when obtaining a new customer to the group, would you say marketing spend is a cause or more word of mouth. Once customers use, are they recurring? To the second part, Daniel, if a client joins our group, they are recurring for a long time and word of mouth is a typical driver. So if we clean up the business well and they really deliver free up and the team to be able to deliver a higher level of service to the clients, that builds word of mouth, which is free marketing. And so running an excellent firm, the word tends to get around. Yes, we do a lot of marketing in terms of brand positioning to build credibility, which really helps our firms. But really nothing can be a hand-to-hand combat of great service delivery that builds a reputation. Just final questions. We've taken up the full hour. I note. I'm happy to leave it there going once, going twice. Robert Miller, to grow or retire as mentioned in the shareholders' letter, could you still see yourself doing this in some capacity for as long as it care is? Or could you see yourself retiring? It's a great question, Robert. I stuck it in there on purpose because I've got a sense of human. If you're not going to do things in a world-class way, then you should retire. So from my perspective, seeing my great hero, Warren Buffett reflect on his 60 years of service and when he chose to retire, I think you've got to always make sure you're doing things for the right reasons. From a personal perspective, I have to get the group to a point and our family to a point that I can leave the business in the way that Buffett leaves Berkshire. And so really, that's my focus and always had a clear vision of what's involved in doing that. I'm very excited about getting there. I think that the longest serving, most effective CEOs have been very careful about how they manage themselves such that they can manage the business. So people like Larry Ellison and Warren Buffett, I think, have been pretty intelligent because they know the duration of what they do is where the value is. Sam Walton is the same, I think they're all the same. So I'm trying to make sure that I look after my physical and mental health that we run the business in a way that is sustainable for a long time because it's really in the duration that the value is ultimately created. Kieran's question, there was a consideration of time to take KPG private. Is there any more weight to this? Kieran, it's a great question. In order for us to do our fiduciary duty as directors, we always have to consider what makes the most sense for all shareholders. So while we technically can't ever say that we would never take the group private, it has been my long- standing position and stated preference and belief that being public has helped our group enormously. I would love nothing better than to see this business as a public company for 100 years, it has the right structure for a group with our current business and aspirations. And I think, frankly, it makes us an insurgent against these other larger businesses that really, I think, are going to struggle to get a structure that's fit for the next century. So I hope that makes sense. But yes, that's our perspective. I can see no more open questions. It's 6:00 O'clock. it's been 1 hour, 6:00 O'clock here in Los Angeles. Ken is in Hong Kong, I should have also mentioned. I want to thank everybody for their time. Certainly, if at any time you've got further questions, please reach out. We remain at your service and keen to continue to deliver some great outcomes on a long-term basis for the business. When we started the business, I had this ambitious goal to get to $50 million of revenue. We built all the systems to handle $50 million of revenue. And then when we could see that, that target was within range, I turned around to the team and said, hey, we need to run this business as if it's already a $100 million business. And then very quickly after that said, let's make that $150 million business. It's clear to us today what our goals are. I think if you read clearly our owners' manual and what we published over time, that will be pretty clear where we're trying to get to. And I hope that you can see that we're building a foundation and just getting started on that path to build Australia's global accounting firm for private business owners that want to go somewhere. And there is a clear and differentiated market opportunity, and we think we've got the model and the team to deliver that for our quality shareholders. I want to thank everyone for the privilege of serving in our business. We are having a lot of fun and making a real difference, which is the fun. And as I love to say, have a great day.